Cristiano Veloso: Hi everyone, my name is Cristiano Veloso. I'm the Founder and CEO of Verde AgriTech. I would like to thank you for joining us for our Investor Relations Results Call for the Third Quarter of 2024. Joining me today, we have Felipe Paolucci, our Chief Financial Officer. And as usual, we will be presenting first the results on a presentation Felipe has prepared for you. And afterwards, we will have a Q&A section. If you haven't sent any questions yet, please do so via the Q&A option or at the bottom of the screen, you should be able to send questions and we will be answering those questions at the end of the call. So before we begin, I would like to remind you that this presentation contains forward-looking statements and actual results may differ. I ask you to read in detail this slide. And after you've done so, we can begin the presentation for this quarter results. Starting then with the very important reminder that if you are in the United States, you can go on Amazon.com or you can go to your local distributor, your local retailer, your local garden shop, and you can ask for Super Greensand. If you go on Amazon, there is a 5% discount code. You can try our product. I will let A - Felipe Paolucci then start the presentation with a market overview, what has happened with the sector, with the agriculture sector in Brazil. And then at the end, I will start answering the questions. Thank you very much for attending this conference live. And thank you very much if you're watching it on YouTube. Felipe, please go ahead.
Felipe Paolucci: Thank you, Cristiano. Thank you, everyone, for joining the conference. First, a bit on market overview. We are showing the last couple of years since July 2021. KCl prices, as you can see, it comes from $600 CFR up to close to $1,200. And then since May 2022, we've seen a significant reduction on KCl price, which has impacted, for sure, our business and how the market in Brazil related to this product. You can see now that since for the last, let's say, six months, you can see almost a flat price. Currently, you have this KCl price very close to $285 per tonne CFR price in Brazil.
Cristiano Veloso: Felipe, if I could add something, I would say that most of you have read an announcement in the news from the President of Belarus, Lukashenko, suggesting that the new CEO of Belaruskali should talk to the Russians about reducing the supply of potash. His comments were along the lines that it's a very valuable product, and perhaps currently it isn't getting the sort of price it deserves. What I would add to this comment comes from some of the analysts, from some of the research notes I've been reading from analysts who cover the fertilizer space. They have been highlighting at least two points, which I think is worth sharing. The first one is, at the moment, at this current Brazil CFR price, he believes most suppliers are operating at marginal cost for production and delivery of potash to export markets, i.e., no one is really making any money out of fertilizers, out of potash. The other comment from those research notes is that if you compare the spread between phosphate fertilizers and potash fertilizers, the spread has been at its record level, i.e., there has never been a point in history when phosphate prices were so much more expensive than potash fertilizers. So that's the other comment people were talking about. As I'm talking about potash prices here, I think I should also talk about how it is impacting us and how we see this going forward. Ultimately, farmers will always have the choice between using conventional potash or using our products as a source of potash. So it's naive from us thinking about the sort of market share we ultimately expect to reach. It's naive from us to expect our product to be disconnected from the prices of conventional potash. There will always be a certain level of connection. What we do have, though, are premium potash fertilizers, which usually sells for one and a half, up to 2x the price of conventional potash. One of those products is potassium sulfate. You have potassium nitrate. You have K-Mag from Mosaic. You have polysulphate. So there is a range. There's a range of, let's call it, premium potassium products that end up commanding higher prices. With our team onsite now, with the approximately 20 people we have in the field now selling our product, and being able, above all, more importantly, being able to onsite demonstrate to farmers the improvements and the benefits, we would expect to be able, as the business evolves, to be able to disconnect ourselves from potash, from conventional potash. The other way we expect to potentially be able to do that in the coming years is when people start looking at their own supply chains and start looking at how they can cut their carbon emissions. The carbon footprint of our product delivered to farmers in Brazil is significantly smaller than the carbon footprint of conventional potash delivered to the same farmers. There isn't much of a government pressure, and we don't expect a government pressure for companies to do that, especially given the recent election results. But we do expect a consumer pressure to the big food-producing companies and to the big clothing companies. When we look at cotton and we look at [indiscernible] you need to remember that agriculture is all over us, from energy to clothing to foods. But we expect some sort of government pressure, some sort of consumer pressure to make companies, to force companies to start looking at supply chains as ways to reduce carbon emissions. And that's where we carry on working, and we have at the moment an audit being carried away by Bureau Veritas, the big international lab on our carbon footprint. That's another stage in terms of validating that. It was a result from one of the discussions we had with one of the big food producers. They said, oh, this is all very exciting, but we would like to see this LCA, which is our Life Cycle Analysis, which is our ultimate carbon footprint, we would like to see this audited by independent companies, so we're doing it. So I feel a bit like on this one slide in KCl price, I'm talking about a lot of stuff, but I think the key message I wanted to leave here is that this will always be an important benchmark, but it's something over the development of our business. We expect to start diverging from what we see as a commodity that isn't really the right product in the world we're living now. And the world we will be living in, in the coming years. I don't think prices for potash are going to personally -- I personally don't think the price for potash is going to go up for [indiscernible] future. There are some analysts suggesting that there is a -- if there is a reduction in supply from Belarus, which is usually the weak link in this chain.
Felipe Paolucci: Cristiano, I think you are on mute.
Cristiano Veloso: You can't hear me. You can hear me, Paolucci? I think that was one way of Paolucci saying perhaps that I've already spoken too much on the topic. If not, what I'm saying is I don't really see potash prices going up a lot in the short-term, but I've read some analysts suggesting that if Belarus is to lead this reduction in supply, as had been alluded by Lukashenko, they could see prices going back towards $400, which would have no doubt a big impact for everyone. So, please go ahead, Felipe.
Felipe Paolucci: Thank you, Cristiano. Then the coming chart, you can see the Brazilian economic scenario and currency exchange rates. What we have last Wednesday this year for Central Bank in Brazil, which has raised the current rate to 11.75%, what was already expected trying to mitigate a bit on inflation and due to the international scenario as well in the economy. And there's also an important point to raise which could be favorable to Verde in the middle term, we've seen the Brazilian real getting weaker in the last few months. You can see compared to U.S. dollars, for example, achieving BRL 5.8 or BRL 5.7, and then compared on Canadian dollars, you can see currently a Brazilian real a bit over BRL 4.09. Of course, our costs are in Brazilian reals, and then the imported potash in U.S. dollars. So, the short-term could be good for us as the Brazilian real gets or remains at this level [indiscernible].
Cristiano Veloso: I think, Felipe, we should go back one slide before we start talking about all the impact this is having on farmers. This interest rate we see on this slide, this is a disaster for farmers. That's a disaster. It's a disaster for the agriculture space. And a little bit of context in Brazilian politics and everything going on in Brazil, the Central Bank. So the Central Bank in Brazil is independent, and there's an overlap between the mandate of the President of the Central Bank when there's a change in Presidency. So the current President of the Central Bank, he was appointed by the previous President of Brazil, Bolsonaro. The new President of Central Bank will take office, which is Galipolo. When is he going to start his mandate, Felipe?
Felipe Paolucci: In a couple of months, I think.
Cristiano Veloso: In a couple of months. So only now, two years down the Lula mandate that he will start determining what the monetary policy in Brazil should look like. There's a lot of criticism by the President of Brazil, Lula, towards the Central Bank, not only maintaining interest rates so high, but increasing them. There has been significant public criticism. So there is a certain expectation that if the new President is to be influenced by Lula, who appointed him that those interest rates might come down a bit faster. But that is still a bit challenging because the debt-to-GDP ratio in Brazil is very bad and keeps deteriorating. Obviously, with Trump, there's an expectation that the U.S. currency will stay stronger and that, as a result, can make inflation in Brazil worse. So some people think there will be little room for maneuver for the new President of the Central Bank in Brazil to carry on reducing those interest rates. What the government has been doing is to offer some element of subsidized interest to farmers, but still very, very small in comparison to what would be needed. So, this is a point of worry. And the impact of those very high interest rates is what Felipe will show on the next slide. Please go ahead, Felipe.
Felipe Paolucci: Yes, on this chart, which is quite connected to what Cristiano was saying, we've seen this year the worst year related to bankruptcy in protections for farmers and also for distributors in some industries. We've seen in the left side here some of the largest ones that they had this year. This is in Brazilian reals but converted to Canadian dollars you can see, for example, just the first one here on the left side. It's called AgroGalaxy. They have over BRL 4.6 billion on creditors that are under protections by now. So, they are, for example, this company is still working on their plan. But from since the beginning up to this is concluded, our payments are frozen and they are protected against creditors. And what happens at the end of the day for Verde is that we -- since the last year, we've made our policy on credit much harder and much more intensified on declining some sales sometimes to avoid this kind of situation of not collecting. So, what happened, even though we have these credit policies improved, we still had some problem, we're still having some problem to collect sales from 2022 or 2023. So, you can see also in our financials as presented that the level on bad debt provision is similar to what we had in 2023, currently 2024. But at the end of the day, the key points like the entire market is struggling on credit and everybody is asking for 12 months or a season payment terms and they are not willing to provide it to everyone because the risks are high and the current situation is very unstable at this point. So, this is quite a tough time for this credit situation in Brazil. Any point here, Cristiano, you want to add?
Cristiano Veloso: Yes. So, when we look at this list, we have some people in this list who owe us money. If you look at AgroGalaxy, is the bigger one, they were a distributor for our products and they owe us money. So, it's very unfortunate, it's very unfortunate this is all happening. It's a very complex environment for us to operate at the moment, given the increase in bankruptcy protection, both by farmers and distributors. We have become very conservative in terms of offering credit to buyers. And unless you offer credit, it's very difficult for you to close sales. Farmers need this credit, the market operates on credits. We start hearing from market sources about companies that are giving a lot of credit and people expecting this company to fail. So, anyone being very aggressive now, getting market share and selling a lot, a bit of the consensus is that the person is taking on a lot of risk, a lot of credit risk, and significantly increasing its chance of later on having to file for bankruptcy protection itself. So, it's a very complex, very complex environment. We've been talking about it now for, oh boy, two years and it's not getting any better. If anything, we're really seeing a materialization of bad results filing in. And the other day I was talking to an investor and he was saying, yeah, you guys are talking about that, but then there's this company that I've seen, they're increasing their sales and they're being very aggressive, they're growing a lot, they're growing market share. And what we were talking about is, well, yes, they are. But out of that growth, how much money are they actually going to get paid, i.e., is this really the best thing to be doing right now, exposing yourself to too much risk if the market is so bad or is now the time for you really to retrench and be conservative? So, it's complex. It's very complex. The good thing is that I think we're very well advised by our Board of Directors, by our extended network of advisors and partners. We talk a lot, we get a lot of input, and we're trying to navigate this horrible, horrible market the best way we possibly can. The important information, I think, for those of you who have read our last press releases, is how protective towards the borrower the Brazilian legislation is. So, you can see what we were able to get from our banks in terms of a renegotiation. All those firms we were able to secure which are on those press releases. It's true our project is relevant to the country. It's true we're the largest cash supplier by capacity. But because it's in the legislation, pretty much everyone has access to that sort of protection, which is what we've done. But there's one step forward, which is what all those companies on the left here are taking, which is the Brazilian equivalent of a Chapter 11. I wouldn't say it's the same as a Chapter 11, because it's much more beneficial to a borrower than a Chapter 11. And the reports we get and what we are suffering ourselves from some of our clients who entered what's called in Portuguese, Recuperacao Judicial, or the literal translation would be a judicial protection against bankruptcy. But what those players are getting is a debt reduction, anything from 50% to 80% of money they owe. And then the balance they are getting an interest rate of less than 1% per year. Less than 1% per year. So, the legislation in Brazil allows you to get that. And this is what a lot of companies are relying on to weather the current crisis, which are terms even better than what we currently got from our renegotiation. Please go ahead, Felipe.
Felipe Paolucci: Okay, so now I'm sorry about my camera, but I had some problem here. But let's move forward on Q3 results. Key highlights related to cash. And cash and other receivables held by the Group until Q3 2004 were CAD 14.7 million, compared to CAD 25.4 million last year. As you know, it was already released. We did have volume and price and total revenue reduction, and then explains this cash and other receivables [indiscernible]. As of September 2024, the Group's total loan balance was CAD 42.2 million. In terms of profitability, sales in Q3 were 101,000 tonnes, compared to 108,000 tonnes in Q3 2023. In terms of revenue, we had CAD 7.1 million, compared to CAD 9.4 million in the prior year. In terms of EBITDA before non-cash events, we were better than last year, delivering almost a zero or CAD 30,000 only negative EBITDA, compared to CAD 620,000 in 2023. And the main reasons for this, you'll be able to see the other charts that's related to cost reduction, some efforts made during 2023 to reduce costs, expenses, and among other actions that the management took. At the end of the day, the net loss was better than last year, reducing from CAD 3.4 million to CAD 2.3 million. On this chart now, we can see the financial statements, where you can see in the left side Q3 2024 against Q3 2023. And on the right side of the table, 2024 year-to-date up to September, and also 2023 year-to-date from January to September. Key points here to be highlighted, as I've mentioned before, is a slightly improvement in terms of EBITDA in the quarter, and also in the net loss, a reduction in our net loss in the period. So, basically, what we had was a reduction on general and administrative expenses, 21%, that helps to explain this reduction, and what mitigated a bit our price increase in the marketplace. On this chart, you can see the numbers were strong, and the figures you can see and compare with the top side of the chart on operation summary, the P&L as it is, and then in the second table, we've excluded freight from the analysis, what shows better to everyone, since the company normally does not make money on freight, what to charge for the clients, what is what cost to us. We can see that excluding, for example, freight, we had a decrease on every revenue breakdown from CAD 51 to CAD 45, over 11% reduction. However, we had an improvement in terms of cost for a few reasons, such as a downsizing on people and factory, and a reduction is made during 2023, and we had relevant payments on severance fees, expenses in the last year out, so what also impacted the cost negative in 2023. And also to complete, we are staying with a higher mix of products from Plant 2, compared to Plant 1, which is more cost effective, and we had a lower cost per tonne there. And then at the end of the day, we had a gross margin here on 6%, compared to 45% last year. On SG&A expenses, as I've mentioned, we had some reductions. The first one is on fees paid to sales agents. This was due to a reversion made last year. For this reason, we had CAD 195,000 on positive. The best amount to analyze is the current one on CAD 70,000, which is the commission we paid to our sales agents. But the key point here that we had a significant reduction was on SG&A, in general, in such expenses, with a reduction of 43%. And here's for some actions we took, like rental of equipment, reduction, some metallic structures we had in Plant 2 also that we are no longer using, and some other reductions on people and other investments. So at the end of the day, we had a decrease of 21% in the quarter and year-to-date, we had 13% decrease on expenses. On cash flow and debt overview, we had a cash of CAD 3.4 million compared to CAD 9.2 million last year. It was a decrease of 37% and trading and other receivables of CAD 11.3 million compared to CAD 16.1 million. These reductions are mainly driven by the lower price per tonne and revenue in the period, and of course the volume. So this is just a consequence of it. And we are not raising any cash from banks since last [indiscernible]. So this also has a relevant impact here, because last year we raised some relevant amounts on debt, what we are no longer doing this quarter and for the moment. For this reason, the total loan balance here was just a bit higher mainly due to interest rates that we are not paying at this point due to our renegotiation of creditors, like this is mentioned in the third bullet point here. So we are renegotiating 7 to 8 banks, which encompasses our total debt for the moment. And we had a successful conclusion of this first stage, let's say. We have issued a press release yesterday as well. The company has over 92% already concluded with creditors and we do expect to have the other 8% of total debt to be included in our plan. And then at the end of the day, we will remove from the short-term, which is from, let's say from January up to December next year. We are going to remove almost let's say 95% of the total loans to be paid, moving everything to the long term, which will help us a lot to prepare ourselves, the company, for the coming years and the market situation that we are facing. So after we conclude the quarter, as I said, we had two subsequent events. First is a new renegotiation. On October 2nd, we've announced that we had already 70% and then it increased now to over 92%. And as I said before, I expect to have 100% set and concluded in the coming weeks. And we had also some important news on railroads, which Cristiano also will provide some highlights later as well. But the company has announced some important points related to this project. Well, those are the key points, Cristiano. I'm not sure if you want to go straight to Q&A or you had some points to add here in terms on the subsequent events somehow or we can just move forward to Q&A.
A - Cristiano Veloso: We're doing that but we're not doing that via Zoom. We have a team, we have identified who are the key consultants for each one of the areas where we are focused and there's a list and we are talking to each and every one of them on a face-to-face communication trying to address any issues and doing the best we can. Unfortunately, there will always be the sort of consultants who have some sort of commercial relationship with another supplier and a long-standing commercial relationship with another supplier where they get paid somehow for recommending other products which makes it a bit harder to interfere. But from a technical perspective, from a merits perspective, we're doing our best. In the relationship perspective, we're doing our best to address that. Other questions. While I absolutely back Verde focusing on sales in the [indiscernible] area and around Minas Gerais, is there merit in focusing specifically and approximately trained salesmen engaging specifically with organic growers further away than your current focus? Just to, and I think perhaps [Luisa], this is a slide we should put in our presentation which shows the location of our field sales team. But we have our field sales team covering the whole of Goias state which is about 6 million tonnes of potential demand for our product. Minas Gerais state which is another 6 million tonnes of potential demand. Sao Paulo state which is another 5 million tonnes to 6 million tonnes. So this presence on site, in the field at the moment, which is a market far greater than what it is. For the markets that are further away, we are still addressing those markets via our inside sales team. And for next year, we're going to have some technical people who will be able to go to the site for those customers and follow the experience of those clients who are further away from the mine as well. In terms of organic growers, we try our best to address this market. We try our best to sell to all of them. Unfortunately though, it's a very small market in Brazil at present and the sort of volumes specifically for organic growers wouldn't be enough, let's say, to sustain our operations. But we're doing our best. We're doing our best to sell as well to organic farmers. Just going back to the organic, we're doing our best. But if we were to rely exclusively on selling to the organic farmers, the business wouldn't work unless we completely resized everything we're doing and everything we expect to be doing. Unless all of you guys start just eating organic. And quite frankly, if you're not just eating organic nowadays, it's not money well spent. Save money elsewhere, but make sure you just eat and drink organic. It's the best thing you can do for your health. Can or is Verde developing a growth model that is adaptable and modular in scalability --that developments can be tweaked and modeled, built and added to or withdrawn from to react to market conditions and new and changing developments? Verde has suffered greatly from the abrupt change in price and demand and found itself overly indebted and with lots of unused expensive large-scale production CapEx and capacity resulting that ultimately saddled the company with unserviceable debt. Smaller but more regular CapEx and production expansion can be scaled up and down as the company grows to the most suitable defensive aggressive market conditions. I think that's certainly something to be taken into account when we plan our next expansion. But the focus now is really not expansions, really not CapEx. The focus is really developing the market to get to full utilization of our 3 million tonnes production capacity as possible. We will add to our next deck, we will add a slide showing what economics would look like if we were or when we are to get to 3 million tonnes. And the numbers are very, very, very robust, especially when you compare to the valuation. And it's something we can and should be able to achieve and hope to achieve without the need to deploy any sort of CapEx. Next question. Could Verde reach out to government and more monitoring the competition? It is clear government at the highest level is actively engaging with companies, even Lula himself. Verde should be a key player and get itself on the government's radar, especially with its benefits to Brazilian agriculture for a more volatile climate with great disease, drought resistance periods and massive zero carbon sink. Is it worth regulating the quiet season each year, trying to reach out to government to see if any benefits or doors open regarding helping Verde's development? Even if you are successful there is no harm in and worth reaching out each year with a project's potential. What is limiting it reaching this potential? It will cost practically nothing. Could have significant rewards and put Verde on the government radar for coming back to you with the potential of government backing a partner facilitator. I kind of agree that we should be doing more. I think we could be doing more in terms of showing up in the media alongside the government. Behind the scenes, we have the communication behind the scenes. You look at, for example, renegotiation and which we were able to accomplish and all this stuff which we do communicate to the government, I think, but I think we should and I hope we'll be doing more in the coming weeks as well. So point taken, point taken is all I have to say here. Have you tried or could anything be gained engaged with Banco do Brasil and possibly the government regarding Verde's major obstacle to expansion, which seems to be client access to affordable credit and credit terms? Banco do Brasil obviously has a vested interest in Verde growing and succeeding for recuperating as much debt back as possible under the renegotiated debt agreement, as well as being a development bank for Brazilian interests, which Verde meets along the goals of the National Fertilizer Plan, as well as a future large scale carbon capture sync of Brazil. Could they directly assist or facilitate by pointing you to a potential partner solution for access to better credit terms versus clients? Again, it's always worth asking the question. I agree, there's no harm, we should be having those conversations, should have those institutional discussions. We will be looking to do more of those in the coming months, just in order to mitigate, to manage expectations. There's a long list of companies that Felipe showed in his presentation that had to file for bankruptcy protection. So there is a limit to what can and what can be done. But we will, we will carry on trying. So again, point taken. Point taken. I agree, there's no harm, there's no harm spending more time communicating. Next question. I think there's a lack of veteran industry experience specific to broader Brazilian agriculture and/or fertilizer. Would Verde benefit from someone similar to the late Mr. Paolinelli, who is committed to Verde's cause with an open mind and has a lifetime of fertilizer Brazilian agriculture experience? Someone able to give input drawn from a lifetime of challenge developments and experience in the insight, wisdom, outlook and foresight drawn permits to add valuable input to development versus growth? I agree. I think we -- we still -- it was a big loss, Paolinelli. And I agree. I think we should be looking to strengthen the Board of Directors with someone else with proper fertilizer experience in the country. Agreed. Next question. Do we have an update on the carbon project? I hope to be able to disclose something on the carbon project very soon. There were tests we were undertaking for a long time, and they have proven to be quite relevant in face of the changes in the new guidelines published by Puro recently and by Cascade. So that added another layer of complexity to the full enhanced rock weathering situation, but we were lucky that some of it -- well, most importantly, it had already been underway for several months in terms of tests. So hopefully, we will be able to disclose something about that very shortly. Any positive signals on the farmers' credit situation? Seemingly, the normal situation to recycle, it's awful. I think Felipe's presentation has addressed that. Now that Puro has released revised MRV standards, please provide your detailed carbon monetization plan and expected timeline? They have issued their revised MRV standards. So far, not a single ERW, Enhanced Rock Weathering project has been able to verify and issue carbon credits out of Enhanced Rock Weathering. Let me repeat that, in all those years, all this money paid in advance, not a single company has been able to issue carbon credits from ERW and we hope we will be the first, working hard. As I said before, there is those trials which we had set up earlier on, which we're now getting some sort of measurement and trying to understand the results and can potentially offer a timeline and the next steps. Next question. Can you elaborate on the partnership with BDMG to offer lower credit -- lower cost credit to farmers? How competitive is this rate relative to current competitive terms being offered? So, we did this partnership with BDMG, which is a development bank owned by Minas Gerais state, the state where we operate. And essentially because the bank could raise money to be dedicated towards climate change at cheaper rates, they were able to offer more competitive rates to farmers. The way the bank offers those competitive rates to farmers is via co-ops, credit co-ops. So, we not only did the partnership with BDMG, but we developed and carried on working on a relationship with those co-ops. So as part of their package, they can offer. So far, unfortunately, it hasn't been very successful because the co-ops themselves, even though they can offer lower -- cheaper loans to farmers, the co-ops have been extraordinarily conservative in how or when to lend to farmers. So, unfortunately, that's the reality of the scenario where even for farmers to be raising debt to buy imports, it has become challenging. But it's something we expect to carry on working and doubling down as a way to offer lower credits. So it's something that is not just a one-off partnership, but it's something which we will carry on exploring in the coming months. Next question; considering the growing threat of a major oil price shock, what steps are you taking now to hedge against such a major risk to your operations? We're not doing anything to hedge for a major oil price shock at this stage. Hopefully, there won't be one. I think the situation in the Middle East has, to a certain extent, alleviated, has improved. But there is a strong correlation, I believe, between the price of fertilizers and oil prices. So I think perhaps that would on its own, given its own nature, offers some sort of hedge protection. Is the [hedge] pursuing the large producers either recovered, degraded past year's mark, significant government resource should be available to producers by the end of the year? Yes, we are talking to the large producers about the advantage of our products when it comes to regeneration, to the recovery of certain types of soils. Hopefully, there will be those significant government resources and people are going to be able to access it. And more importantly, banks that will have access to those funds will be willing to deploy those funds despite of the credit risk towards farmers. Next question. With such a ramped up sales team being crucial to success, what type of metrics are in place to generate and grow revenue per sales associate? In terms of management systems, we operate with OKRs, objectives and key results. We are a big fan of that book, Measure What Matters, and we have KRs for everyone in the company. And when it comes to the sales team, they have their KRs and we follow it all up with sales force in a very detailed way. If there's an actual detailed plan to monetize the carbon capture potential of the operation, can investors get a deep dive presentation from the head of this operation outlining the specifics of the company's plans? Yes, we should organize that, for sure. Let's wait for the last set of results of this set of results, which we should be getting, and this will give us a better understanding of where we stand and what we can do and what we should be doing. And again, to address this point, ERW is evolving. The sort of requirements for issuing carbon credits out of ERW have been changing. If before there was a lot of presale of credits, a lot of the buyers who funded that, even before we started doing ERW work, started demanding from the companies they had given money some very specific ways to calculate the amount of carbon being captured. Cascade was one of the institutions that started trying to address that. Puro revised its guidelines, and a lot of the science is evolving as we speak. Our consultant, for example, was sending photos from a presentation she is attending right now on ERW. She is quite pleased to see our rock in one of the presenter's slides. And -- but the academic world is evolving and trying to figure out the science to answer some of the questions. And ultimately, the key question they're trying to answer is, how can you have a definite guarantee that there is indeed carbon precipitating out of ERW and how are you going to accurately measure that and how are you going to allow for potential reversion risk from different types of soils, different types of agriculture? And before, lots of people had done experiments in lab scale. Now there is a need to do that in greater areas and to be able to measure it accordingly. So that's what we actually were lucky to have done several months ago. There's an experiment, which is now going to beyond 12 months. We've done a lot of measurements, and alongside this consultant, who is one of the most influential and relevant persons in the ERW world, we're trying to see how we can use that to properly measure it. And then, if we can indeed properly measure it, to be able to do a filing for carbon credits. At the same time as doing all of that, we've done the LCA, which is the Life Cycle Analysis, looking at exactly what our carbon footprint is from the operation, and we've gone one step forward, which is to get this LCA fully audited by an independent company. Next question. Do structured debt terms by some time? But my calculation suggests the company must sell 800,000 to 1 million tonnes per year to service the debt, assuming current MOP and diesel prices, with a carbon subsidy to capitalize sales growth, achieving such a high sales volume appears unreachable. What you -- reveal the steps to alleviate this concern? Your calculation is wrong. The number is materially smaller than 800,000 to 1 million tonnes. There's a big dilution in terms of fixed cost as you go forward, as you increase your volume. So the number is materially smaller than the 800,000 tonnes you're suggesting here. So the business plan, the growth, everything we're developing is completely independent from a carbon subsidy, completely independent. We're looking at it as a way to keep growing even if there isn't anything -- there isn't anything materializing from carbon, and we're confident we should carry on growing, and in the business, everything is set this way up. We're looking at carbon as an added way to monetize and create more revenues and even potentially looking at supplying rock when the plant isn't operating at full capacity, given the seasonality of the agricultural business, looking at different models where you just supply the rock for the simple purpose of recovering degraded pasture land and repeat that because it's very important, because there was a good question above who kind of touched the point. There is a lot of money and interest going towards recovery of degraded pasture land, a phenomenal way for you to recover that degraded pasture land is really with the combination of ERW around where we are. There's a lot of very sandy soils, which could benefit from that. And you could be applying greater quantities of rock in those specific areas as well to be recovering degraded pasture land and generating carbon credits. From a budget perspective, there's very little money we spend or are spending on that. It's really that test which took several months. It's this consultant who is helping us figure out the calculation on a part-time basis. And if we can effectively quantify those carbon credits, if there's a concrete timeline from that, we will be looking to see how we can develop this as even potentially an independent entity with an independent business plan from Verde AgriTech or even a combined business where you take the best of both. So there's a lot of possibilities, but this all will depend on those results. And more importantly, on how the science behind ERW continues to evolve. Next question. The series of extremely negative market conditions have strengthened the asymmetric advantage for large competitors. Aside from a closer to mine sales initiative, what big picture strategy does marketing have to penetrate the target market? Unfortunately, you're absolutely right. If you're a large competitor, you have a bigger balance sheet, you can be more aggressive offering credit. You can be a little bit more aggressive with your credit risk. You can offer better terms, better interest rates than we do. So we start from a weaker position. Where we have an advantage, when answering your question in terms of marketing, to penetrate the target market will really apply to the farmers who can afford that, the farmers who can afford a product that wouldn't necessarily have the same sort of credit risk. So that's where we're trying to find an edge. I think in the long term, medium term perhaps, perhaps even sooner than we expect, the carbon footprint of our product being so small, a fraction of the carbon footprint of KCL, might help us carve out some markets. The overall benefit, economic yields, great results is something else, we keep seeing excellent results, we keep getting excellent feedback. Some of them we share on social media, and we'll carry on doing the best we can. Next question is about Puro.earth. Please discuss your current and expected future relationship with Puro.earth? They have been evolving and their understanding of ERW has been evolving since they published their very first guidance over a year ago, and no one was able to certify carbon credits. So I think they've been changing the approach, and there's a new guidance now which hopefully will make it more -- we will be able to validate all the projects and ours as well. Time for to drink some water. Next question here is on rare earths. Please discuss your plans for the rare earths segment? That was lucky. We were lucky. We were very lucky to be able to find rare earths in those old drill cores. We had to spend millions, millions of dollars to be able to do all that diamond drilling if we were ever going to go and start exploring for rare earths. So all we could do was to get those drill cores and re-assay them, and with minimum investment, we were able to come up with those absolutely amazing, outstanding results for [NIs]. Not only that, but some of the tests we did came up with ionic clay rare earth mineralization, which is the cheapest one for you to recover, smaller CapEx, small OpEx. And when you look at the results for magnetic rate earths, which are the ones that matter the more, especially for EVs, electric vehicles, the results are great. For Terbium, Dysprosium, Neodymium and Praseodymium. Very high grade, and it's an exciting asset. It's a very exciting asset. I think as a consensus we've written that in several press releases. We don't want to be developing this within Verde AgriTech. It doesn't make any sense. We should be focused on our core business here, which is selling low carbon specialty fertilizers. That's what we will carry on doing, selling low carbon specialty fertilizers, but there's money there. There's money and it's valuable. So, answer your question here in terms of plants, we hope, as we wrote in one of the press releases, to very soon be announcing to be transferring those assets to a new company. And then that new company will be able to independently develop the developed assets. So this new company that will be developing the asset independently, it will be able with its own management, its own Board of Directors, its own mandate and with us as shareholders. By us, I mean, myself and each one of you who are shareholders, to be able to be doing and looking at what's best for the shareholders of that new company. And that brings to the next question here, you're still in discussion with private equity or the public participants in the rate earth space? There has been, as you may expect, a lot of interest from other companies, and we are having discussions. We are waiting to finalize our resource calculation, which is being undertaken both under 43-101 and JORC standards. The reason it's being undertaken under JORC standards is because if you look nowadays, Australia has been by far the best stock exchange for mining companies. There are several companies from TSX moving down to Australia, either via dual listing or even delisting completely from TSX. Some reason, the Aussies keep loving and -- mining and seems like Canadians, their appetite has changed a little bit from for mining and exploration. It's a longer discussion. I'm sure each one of you will have its own views on that. But it's -- there's no doubt Australia has been the most active market for mining in general. And when you look at rare earths, it's the same. There's a few companies in the rare earth space that have listed its shares in Australia. Lots of those companies or some of those companies have projects in Brazil that have been very successful with market caps getting as high as $600 million or $700 million with a resource calculation, with drill holes and resource calculation. So, it becomes one of the avenues, one of the possibilities to do a listing, independent listing in Australia. But at the same time, private equity, there's some private equity money looking at rare earths. There is other companies in this space. So, we're keeping our options open. But one crucial element is this resource calculation. Resource calculation is expected for early Q1 next year, very early Q1, January, perhaps December, perhaps we should have. But if we start looking at the results we've published alongside those 2 last press release, and there should be a press release coming up very soon with the results from our last target. You can say it's big. You can say -- you can clearly see in one with a ruler and some basic ruler and some very basic calculations can come up with this sort of resource. And if you're feeling a bit lazy to get a rule or do anything like that, ChatGPT himself can help you coming up with some estimates on how big the resource could be based on the material -- the public material information. Given my quotes there, you can see it's exciting. Time line for the next release? So there should be a few releases on rare earths. We're going to come out with the results for our third target, which is Alto da Serra. So, so far we've press released results on Nau de Guerra, press released results on Balsamo with 2 of the targets, and then the third target, which makes up our Man of War project, the third target is Alto da Serra, the results should be available very soon. Man of War is the name of a famous Portuguese battleship, and it was the name given by locals to a hill, which is one of the hills where there is rare earths, and that's where we took the name from. The area where we were, where we operate 200, 300 years ago, there was a lot of diamond extraction and the Portuguese went there. The Portuguese were the ones there doing diamond extraction, diamond mining, those streams. And I think they came from Portugal. They look at those hills and they go "Oh, those remind those battleships." And they named them after a battleship. That's why the name is Man of War. Next question. about rare earths. Do the potash and rare earth reserves overlap at all? No. So, the potash reserves we have, they have absolutely no overlap whatsoever with what we're announcing now in terms of rare earth reserves. They are completely separate and completely independent resources. So, make it very easy to spin off a new entity just focused on that. Please discuss about rare earths. Please discuss the geology of the deposit. Is it ionic clay in nature? It's not a classical ionic clay identical to a Chinese deposit. So the Chinese ionic clays are very specific to China. However, there is an ionic clay type of mineralization, which is being found in Brazil, Meteoric and [Indiscernible] which is an operating mine, they have been able -- and what usually happens in Brazil is that you have certain element which has suffered a weathering of the deposit, and that weathering, that weathered amount can be recovered as a classical ionic clay and some of it cannot be recovered from a classical ionic clay, and this will vary as well along the deposit. So that's the case with Meteoric that has a $250 million market cap thereabouts, they will approach $400 million at that point. The very important element here when it comes with the whole ionic clay discussion, for those of you who are new to this, and that's why on our first press release, we're so excited to talk about the ionic clay results we achieved is that when it comes to rare earths, rare earths aren't rare. What's rare about rare earths is for you to be able to recover them economically. And for you to be able to recover them economically, it's all about metallurgy. It's all about the geology of the deposit. It's all about what is there and what isn't there. And the cheapest way for you to extract rare earths is by using a process, which is a process deployed for recovering ionic clay rare earth deposit, which is using a pH4, using a 0.5 millimole of ammonium sulfate, then at room temperature for 30 minutes. So that's the basic test, which allows you to have both a small CapEx and a small OpEx. So we had confirmation of some samples of that sort of recovery. We're in discussion with the main research institute in the world in terms of this sort of work. It's in Australia. And as part of those discussions, the experts told me that as important as the results, the awesome results we had from an ionic clay nature as important as that is the impurity. So what else? impurities? What else are you leaching in addition to your rare earths? And in our case, the results were absolutely amazing because the impurities leached were insignificant. And there's a slide there where we compare our impurities to Meteoric and you can see how much lower in several orders of magnitudes, how much lower our impurities are. And those impurities are very important because they have a direct impact both on your CapEx and on your OpEx. So it's a very exciting project, and it's something I hope we all, as shareholders of Verde will benefit from in the present and future. Next question. For Potash, please provide an overview of the competitive landscape and what milestones you will be looking for to drive future profitability? Over the years, we were able to sell our products to hundreds of farmers, hundreds of farmers. But we weren't able to develop a relationship, and by develop a relationship, I mean like being present on site at the farm with all of those customers. And because we weren't able to do that, some of these customers went away, we lost them as customers. But -- as bad as that, a lot of those customers who had some amazing results and even the ones who left, they actually had amazing results, but we weren't there to show and demonstrate those results. This hurt us as well. So what we're doing now, we have this team, we have a field sales team. So everyone who's using the product, we've been able to go to the field, and we've been able to document the benefits. We've been able to document the gains they're getting; yields, how much more money they're going to be making, how better it is from a -- in a methodical way. And this methodical way to do that, we expect not only for those customers to be able to buy even more, but we expect to be able to bring all the farmers from the region to come and see what they're seeing there, see the benefits and carry on growing that market. So there won't be a silver bullet. There won't be like a magical way that we will be able to resolve all our problems. It's really on a face-to-face relationship basis, going to the sites and showing the results and then publicizing those specific results. And so, that's what we're looking. Next question, describe the pathway the Board intends to seek for rare earths? I think this is what we discussed. It's to get the asset out of Verde AgriTech into a specific vehicle, allowing that vehicle to conclude the resource, the required reports and then doing a bit of a beauty parade at this company, looking at all the different alternatives, all the way from an IPO to a straight sale, JV, RTO, whatever it is, look at what the alternatives are and then allowing this company to follow its own path. Have you successfully sold any type of carbon credit thus far? What type of buys did you sell them to and what verification standard is set by them? No, we have never sold a single carbon credit from ERW and there hasn't been a single company from the companies that pre-sold millions of dollars that have been able to verify it yet. That's what we're trying to do. That's what we're working with the Puro standard. That's what we're working with this consultant, and that's what we hope. Next question. There is an AGM for the 20th of December. We should very soon be releasing the management information circular for that EGM scheduled for the 20th of December. With the rare earth situation, we've heard that we should give best environmental standards in [Indiscernible] to keep with the company ethos? Absolutely yes. And in terms of the rare earths, more than being able to give the best environmental standards. It's a product that is directly connected to the energy transition. We can't have energy transition without increasing significantly the amount of rare earths required by the world and the way we will mine, the way the project can be mined and developed and dealt with will absolutely be, again, an industry reference for that. And then the next question and the last question, unless anyone wants to send more questions here is, will Verde and/or Verde's shareholders get shares of the Men of War project or will it be a one-off sale? So, the idea here is to be giving shares to Verde shareholders of this new entity. So create a new entity. We transfer the assets to this new entity. The entity to start work -- to start off, it's owned 100% by Verde AgriTech. Then we get this ownership by Verde AgriTech, get all those shares and transfer all those shares to Verde AgriTech shareholders. So we, as owners of Verde AgriTech become owners of this new company on a pro rata basis. That's the idea. So that was the last question. And I would like to thank each and every one of you who sent us some questions. If you feel like your question wasn't properly answered and you still want more clarification or if you have any follow-up questions, please reach out to us, and we will be delighted to address them. As always, I'm very glad with the co-owners we have here in the company, lots of the questions, they help us think about the business. I made some notes here as we were progressing from those conversations, from answering. There's some follow-up here, and we're always eager to change. We're always eager to try to do things better, to change things around. So appreciate clearly from the questions, lots of our co-owners here are very experienced and have great insights. So, even if during the call, you felt a little bit that I didn't completely appreciate what you meant by the question or didn't get it, do reach out and say "Hey, Cris, you didn't get what I was saying. Pay attention to that." And that's something I will and we will appreciate. So if you're watching this on YouTube, thank you very much. Please do not hesitate to share it with anyone else who might be interested in Verde AgriTech. Always helps clicking that like button and helping Google to show -- helping YouTube to show the same content to other people. Don't forget our forward -looking statements or disclaimers, and I look forward to talking to you again soon. Bu we will be talking on this AGM on the 20th, just before Christmas. Hope lots of you are going to be able to join. Should be a quieter time, and an opportunity to discuss what is to be discussed there and the next steps. There should be some more results by then as well. It's a difficult market, as I've been saying for the last 2 years. I think the data we've been showing to you is just supporting that. As I always say, there are some other public companies operating in Brazil listed in the U.S., listed in Brazil with their results in English, so you can have a proper detailed overview of what's going on in the market, how challenging it is. And if you feel like we could be doing anything different, do not hesitate to contact us. Thank you very much. Look forward to seeing you and talking to you again soon. Bye-bye.